Operator: Greetings, and welcome to the GSE Systems Second Quarter 2019 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to our host Devin Sullivan, Senior Vice President of The Equity Group. Thank you. You may begin.
Devin Sullivan: Thank you, Diego, and good afternoon everyone and thank you for joining us today. Before we begin, I would like to remind everyone that statements made during the course of this call may be considered forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Act of 1934. These statements reflect current expectations concerning future events and results. Words such as expect, intend, believe, may, will, should, could, anticipate and similar expressions are words that are used to identify forward-looking statements, but their absence does not mean a statement is not forward looking. These statements are not guarantees of future performance and are subject to risks and uncertainties and other important factors that could cause actual performance or achievements to be materially different from those projected. For a full discussion of these risks, uncertainties and factors, you are encouraged to read GSE's documents on file with the U.S. Securities and Exchange Commission, including those set forth in periodic reports filed under the Forward-Looking Statements and Risk Factors section. GSE does not intend to update or revise any forward-looking statements whether as a result of new information, future events, or otherwise. On this call, management may refer to EBITDA, adjusted EBITDA, adjusted net income and adjusted EPS, which are not measures of financial performance under generally accepted accounting principles, or GAAP. Management believes that these non-GAAP figures, in addition to other GAAP measures, provide meaningful supplemental information regarding the company's operational performance. Management uses these non-GAAP measures to evaluate the performance of GSE's businesses and to make certain operating decisions such as budgeting, planning, employee compensation and resource allocation. This information facilitates management's internal comparisons to GSE's historical operating results as well as for the operating results of its competitors. Since management finds these measures useful, GSE believes that investors may benefit by evaluating both non-GAAP and GAAP results. Investors should recognize that these non-GAAP figures might not be comparable to similarly titled measures of other companies. These measures should be considered in addition to and not as a substitute for or superior to any measure of performance prepared in accordance with GAAP. A reconciliation of non-GAAP measures to their most directly comparable GAAP measures in accordance with SEC Regulation G can be found in the company's earnings release. With that said, I'd now like to turn the call over to Mr. Kyle Loudermilk, Chief Executive Officer of GSE Systems. Kyle, please go ahead.
Kyle Loudermilk: Thank you, Devin. I'd like to welcome everyone to GSE Systems Second Quarter 2019 Financial Results Conference Call. Also on today's call are Chris Sorrells, our Chief Operating Officer; and Emmett Pepe, our Chief Financial Officer. Earlier today, we issued a press release covering our second quarter 2019 financial results. Hopefully, you've had a chance to review this news release, but if you have not, a copy can be found on our website at www.gses.com under the News section. We reported revenue of $23.5 million, slightly below our revenue of $24.7 million in Q2 2018. Adjusted EBITDA was $1.9 million, down from $2.4 million in the prior year quarter, but up significantly from $0.2 million in the first quarter of 2019 as we continue to work through the previously disclosed work suspension with the customer DP Engineering. DP reduced GSE's second quarter and year-to-date 2019 adjusted EBITDA by approximately $380,000 and $660,000 respectively. Chris will provide an update on DP a bit later in this call. While we saw strong sequential improvement in adjusted EBITDA in Q2, we continue to be impacted by the added SG&A costs of our DP Engineering acquisition combined with the customer issue at DP as well as lower staffing of field professionals in our NITC business on a year-over-year basis. For revenue and orders, quarter-to-quarter fluctuation should be expected given the lumpy nature of our business and typical quarterly puts and takes. In Q2, we continued to bid on a series of meat-and-potato deals without any major swing deals such as full-scope simulator projects, which are episodic in nature. In our Performance Solutions segment, Q2 orders totaled $3.7 million compared to $8.6 million in the prior year quarter. Our orders were lower than we would have like for Performance Solutions, but we are not aware of having lost any deals we were bidding on for our simulation or True North businesses. Rather several meaningful projects slipped out of the quarter, which are working to close in Q3, again reflecting the lumpy nature of the business. One Performance Solutions new order that already closed in Q3 is an approximately $1.5 million contract we won with a large nuclear operating company for which we will deliver a Data Validation and Reconciliation or DVR solution for 11 reactors at six of the utility's nuclear sites. For this project which runs through November 2020, GSE will be building customized plant models using innovative third-party software. These calculations will reduce uncertainty and validate plant instrumentation readings as sensors age, helping plants make better operating decisions to optimize performance. In addition to analysis of instruments for critical systems, these enhanced plant models are useful for a variety of purposes such as optimizing preventative maintenance and testing. Subsequent to delivery of the solution, we will provide ongoing software maintenance to the client by offering our customers an expanded array of value-added solutions such as this one. We are solidifying our position as the go-to provider of specialized engineering and expert staffing solutions in the nuclear power industry. Including the $2.6 million DVR contract that we announced in January 2019 with a leading nuclear plant operator, we'll be providing DVR solutions to 24 domestic reactors or roughly one-fourth of the U.S. fleet upon project completion. In our NITC segment, Q2 orders totaled 5.8 million compared to 7.4 million in the prior year quarter. The year-over-year revenue comparison was negatively impacted by a large project that ended last year and did not carry over into this year. We were unable to replace that work more broadly in the NITC business. During Q2 and Q3, we made targeted investments in NITC to enhance our business development efforts, adding three seasoned professionals with respected track records of success. We would expect to start realizing return on these investments by Q4 and are keeping a keen eye on the business. We are optimistic that these targeted investments combined with the rebound in nuclear industry demand for our staffing solutions will lead to better results as we head into 2020. Our backlog at the end of Q2 totaled approximately 55 million. This reflects the significant burn down of backlog due to the once-in-a-generation three full-scope simulator projects; we delivered to Southern Nuclear the lack of new orders from what happened with the largest customer DP and weakness in NITC. Let me reiterate that the longer-term fundamentals of our end market remain solid as the nuclear power industry continues to invest for safety, operational reliability, extension of plant life and performance and permit to generate more power from existing assets. As a leader in the vendor ecosystem serving nuclear, GSE is uniquely positioned to take advantage of these major trends in the industry. Looking ahead, we see signs of a potentially significant medium-term CapEx cycle emerging in the nuclear industry centered around trends, such as the digitalization of nuclear power plant systems. Finally, I would like to comment on the Form S-3 shelf registration statement that we intend to file this afternoon with the SEC. This provides us with optionality to tap into the equity markets on an opportunistic basis. The shelf registration statement is for up to $14 million, which may be raised through either a traditional or an at-the-market offering of GSE stock. The filing of the shelf should not be interpreted as an indication that we will be seeking capital in the near term, but rather as a best practice that provides us with greater flexibility to manage our growth strategy and balance sheet over time. We would expect to use any net proceeds from the sale of securities to fund acquisitions, growth initiatives, the repayment of the outstanding indebtedness and/or general corporate purposes. I'll now turn the call over to Chris Sorrells, our COO. Chris, please go ahead.
Chris Sorrells: Thanks Kyle. I'll begin with an update on DP Engineering. As previously disclosed, following our acquisition of DP in February 2019 an event occurred at a customer location that affected plant operations, resulting in the suspension of new project awards from DP's largest customer for up to six months. On August 6, DP was notified that this customer was terminating its engineer of choice contract. Accordingly, work under any open contract orders will be completed by DP in accordance with the terms of the respected contract orders. We expect to finish up this work by year-end. Given the news we acted swiftly and thoughtfully to reduce DP's workforce to match our current level of work and are evaluating the impact to goodwill and intangibles. We plan to complete that analysis by our next earnings call. Let me briefly comment on our M&A strategy. Our thesis has been to identify and pursue compelling opportunities in the fragmented vendor ecosystem serving the global power industry. We continue to see deals, but are very cautious and selective in our core targeted markets. We currently don't envision our debt increasing significantly from present levels and we remain cognizant of the potential dilutive impact of issuing equity in the current share price. Regarding our Vision 2020 strategy, we unveiled a goal approximately two years ago to achieve over $200 million in revenue and $20 million of adjusted EBITDA on an annual run rate basis by the end of 2020. While the recent issues at DP Engineering likely pushed back the timing for us to reach those milestones, the fundamentals of our long-term strategy remain intact and while -- we have made good progress toward this objective. I'll now touch on some favorable industry developments we're seeing in the short-medium and long-term. Last month Ohio enacted a law that provides clean energy credits to zero-emission power producers including nuclear power plants. According to NEI Ohio's nuclear power plants produce more than 90% of the state's clean energy. This law which establishes the Ohio Clean Air Program helps the state's nuclear reactors to remain in operation. Pennsylvania could be the next domino to fall earlier this year as state's lawmakers introduced legislation known as the Keeping Power -- Keep Powering Pennsylvania Act or House Bill 11, which would provide similar relief from nuclear power generators. The state trends are very positive for the country's existing base of nuclear reactors, which have an average remaining life of more than two decades. We're potentially four decades if licenses get extended to 80 years, highlighting the importance and value of GSE asset. In other words, GSE will be serving existing plants for many years to come even without new bills. We have deliberately positioned the company to succeed by serving the existing fleet. Regarding developments in the near to medium term, according to EPRI initial estimates suggest that over the next decade many U.S. nuke plants can justify investments of more than $100 million to modernize facilities, while reducing non-fuel cost by 25% and that is per plant. We expect that the industries moved from analog to digital will accelerate providing significant opportunities for us over the next five years. The digitalization of nuclear power plants optimizes reliability, safety and performance while reducing costs. It also allows for more data to be processed and analyzed creating opportunities for predictive analytics machine learning or artificial intelligence. The Purdue University Nuclear Reactor One in Indiana is the first rector in the U.S. to incorporate all digital controls. This project, which the university completed the last month, involves swapping slow, aging, analog, components for modern computerized digital equipment. GSE is starting to work with major OEMs to put together RFPs related to the digitalization of nuke power plants. Finally, a long-term trend that we've talked about before is the advancement of small modular reactors or SMR technology. New Scale a major player in the space and an important customer for GSE continues to make rapid progress toward commercialization. New Scale cleared Phase two and three of the Nuclear Regulatory Commission's review process keeping it on track for a complete NRC review of the design certification application by September 2020. New Scale's first customer is planning for a 12 modular SMR plant to commence operation by the mid-2020s. With that, I'd like to turn it over to Emmett, who will review the second quarter financial results.
Emmett Pepe: Thank you, Chris. Total revenue in Q2 of 2019 totaled $23.5 million compared to the $24.7 million in Q2 of 2018, reflecting a $2.1 million increase in our Performance Improvement segment revenue which was more than offset by a $3.4 million decrease in our NITC segment revenue. The increase in our Performance Improvement revenue was driven been primarily by our acquisition of DP Engineering in Q1 2019, which contributed $2.7 million to this quarter's revenue, partially offset by a decrease of $600,000 revenue as a result of winding down of our international subsidiaries. The decline in NITC revenue was primarily due to lower staff augmentation needs from customers during the quarter. As Kyle previously touched on, we are excited about the new business development hires in this segment, and are looking forward to seeing what impact they can drive to the second half of 2019 and beyond. Gross profit in Q2 of 2019 totaled $5.9 million compared to $6.3 million in Q2 2018. Performance Improvement gross profit improved by approximately $100,000 to $4.5 million primarily driven by the acquisition of DP Engineering. NITC gross profit decreased approximately $600,000 year-over-year to $1.3 million driven by the year-over-year revenue decline of $3.4 million. Gross margin percentage decline was primarily the result of lower margin work from a major customer. SG&A expenses totaled $4.3 million in Q2 of 2019 slightly below the comparable figure of $4.8 million in Q2 of 2018. We've been able to keep SG&A costs in line with the prior year despite having two full quarters of additional costs from our two most recent acquisitions. Non-GAAP adjusted EBITDA, as defined in our earnings release, totaled approximately $1.9 million in Q2 2019, which includes approximately $380,000 in losses from DP, compared to approximately $2.4 million in Q2 2018.We concluded Q2 2019 with a cash position of $9.7 million. And total debt of $20.9 million. Finally, I'd like to point out that in Q2 2019. We took advantage of very favorable debt markets and proactively improved our covenants for a nominal fee, providing us with greater balance sheet flexibility. Of note, we increased the cap under our total debt to EBITDA covenant from 2.5 times to 2.75 times through March of 2020. This prudent balance sheet management provides us greater optionality to manage and grow the business. I'll now turn the conversation back to, Kyle.
Kyle Loudermilk: Thanks, Emmett. Operator, please open the floor for questions.
Operator: I'll turn the conference back over to moderator for closing remarks. Thank you.
Devin Sullivan: Okay. Well. Thanks very much everyone for joining us. In closing, we're working hard to build GSE's book of business. And resolve the customer issue at DP. We're representing our company at the Sidoti conference in New York, on September 25. For those of you attending, I hope to see you there. And thank you again for your time. And interest in, GSE Systems. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. All parties may disconnect. Have a great day.